Operator: Good day ladies and gentlemen, and welcome to the Benchmark Electronics Fourth Quarter 2016 Earnings Call. At this time, all participants are in a listen-only mode. Later, we will conduct a question-and-answer session and instructions will be given at that time. [Operator Instructions] I would now like to introduce your host for today's conference, Ms. Lisa Weeks, Vice President of Strategy and Investor Relations. Please go ahead ma’am.
Lisa Weeks: Thank you operator and thanks everyone for joining us today for Benchmark’s fourth quarter 2016 earnings call. With me this afternoon, I have Paul Tufano, CEO and President; and Don Adam, CFO. Paul will provide introductory comments and Don will provide a detailed review of our 2016 fourth quarter financial results and 2017 first quarter outlook. We will conclude our call today with a Q&A session. Before the market opened today, we issued an earnings release highlighting our financial performance for the fourth quarter and we prepared a presentation that we will reference on this call. The press release and presentation are available online under the Investor Relations section of our website at www.bench.com. This call is being webcast live and a replay will be available online following the call. Please take a moment to review the forward-looking statements advised on Slide 2 in the presentation. During our call, we will discuss forward-looking information. As a reminder, any of today’s remarks that are not statements of historical fact are forward-looking statements, which involve risks and uncertainties described in our press releases and SEC filings. Actual results may differ materially from these statements and Benchmark undertakes no obligation to update any forward-looking statements. The Company has provided a reconciliation of our GAAP to non-GAAP measures in the earnings release, as well as in the Appendix of the presentation. With that I will now turn the call over to our CEO, Paul Tufano.
Paul Tufano: Thank you Lisa and good afternoon everyone and thank you for joining us for the earnings call today. I'm pleased with the company’s performance. As I stated in our last earnings call, we have credibility mostly earned and it is a function of delivering on our commitments. And I’m pleased that we did that this quarter meeting or exceeded our guidance across the board. Revenue was $608 million this quarter, at the high end of the guidance. Earnings per share was $0.45 which is $0.02 better than the guidance. Our gross margins were 9.5%, a 30 basis point improvement quarter over quarter and at historical high. [indiscernible] most happy about is that we beat our cash conversion cycle day target of 75 days, we achieved 74 days in the quarter, which is a 20 day improvement over the same period in the fourth quarter of ‘15. And as a result of that we generated operating cash flow for the full-year of $272 million. I would [indiscernible] if I didn't think the many Benchmark employees whose hard work allowed this to happen and I want to celebrate their achievement. You can now turn to Page 5. As it relates to bookings, as you all know bookings are fundamental to revenue growth. And for the past two years, we had been flat lined at about $125 million of new bookings every quarter. Clearly this was not acceptable but it is a key focus area for the company, so we are driving to $150 million of bookings by the second half of 2017. However, well our 2016 bookings were not at a level we would like them to be. The mix was appropriate. As you can see from the chart, we had 68% of our total bookings for 2016 in higher value markets and that is progressing us to our target of 70%. In the fourth quarter we had a number of interesting and promising and ones that I'd like to give you a bit of color on a few of them. In medical, we have a new customer, a new product where we will design and manufacture the dialysis product. I think this is a testament to our engineering capability and I’m extremely excited about our contribution in this area. In industrial, we have two new aerospace and defense programs that was won by our precision technology division that’s our machining group in the turbine business unit that [indiscernible] for two commercial projects. And finally in telco, we have a new customer and new product that is in the next generation of telco it is embodying active antenna technology. So very pleased by the types of wins we’re getting. And as we go through the course of 2017 as I said before, our focus is to increase this level of bookings to $150 million of quarter run rate. If you turn to the next slide which is Slide 6. For the full-year of 2016, the charges and finally with regard to the yields of performance. We generated $100 million of non-GAAP operating margin. But if you look at the revenue, we have a serious decline of $231 million of revenue almost 9% year-over-year. Clearly we are not happy with this level of performance. And that revenue decline resulted in EPS of $1.45 which is $0.23 below the prior year and even more so a deterioration in ROIC of 100 basis points to 8.4%. So clearly not where we would like and relatively disappointed. But as I have examined these numbers, I think after closer examination, the performance instituted in 2016 reveals a path for the company going forward and I like to share with you my observations on that on the next slide. So if you turn to page 7. What we’ve done here is we’ve decomposed the drivers of our performance in ‘16, so the upper left-hand box you can revenue and gross margin. Clearly revenue declined 231 million. if you decompose that that was $300 million of revenue decline in our traditional markets, approximately $100 million in computing due to softness of demand for mature products that were driven and approximately $200 million in telco. We actually saw $70 million of growth in our higher value segment. But despite that $231 million decline, we saw gross margins expand by 60 basis points to 9.2% for the year. Now this expansion was based on the shift to the higher value segment. For 2015, we had 55% of our total revenue and high value that moved to 62% in 2016. So clearly the ability to move to higher value segments does give you margin expansion. Now if you look at SG&A, you can see that SG&A grew by approximately $6 million and cost of 70 basis points on our level. That growth in SG&A was really invested in engineering and go-to market solutions. And we have to invest in front of the curve to grow the revenue. And you will see us continue investment in ‘17. Now we got to that gross margin improvement, the absolute effect on operating margin was normal at 10 basis points. And so the value of the model shows and the value of the accelerated moved to higher value segment. Now, from the return on invested capital standpoint, you can see that we posted 8.4% for ‘16, 180 basis point reduction. On the chart we attempted to identify the two drivers of that. Clearly as we have margin erosion, you see non-operating profit after tax, a low to that was an erosion of $12 million. Additionally we saw invested capital increase by $53 million part of that is we gained earnings from the year, part of the traditional debt and that drove the decline. Now I believe that the fourth quarter of 2016 should be the low watermark for ROIC for the corporation. But what I’ve taken away from this analysis and I think from the keys to the path going forward and the levers that we must pull are the following. First, we must drive to revenue growth at the right balance of mix with the right profitability. Secondly, we must optimize our base. We must optimize our current book of business in terms of profitability and asset velocity and we must optimize our network of sites. And lastly we must continue to improve our cash conversion cycle as we go forward. These three levers will be the fundamental foundation for our plan in 2017 and beyond. So I turn to the next slide on Page 8. I think it’s only appropriate when I share with you my observations after being in the job for four months. When I last spoke to you I was here for four weeks. I’m now here four months, since then I visited every one of our sites around the world. I’ve spoken with excess of 40 customers, and I’ve meet with a number of existing and perspective investors. And I want to tell you that I am more enthusiastic today about our opportunities as a company as I was four weeks ago or four months ago, excuse me. And I believe that Benchmark is one of the best positioned companies in the industry. Now at any company we have a number of positives, we have a number of weakness. Now on our positives, I think we have a unique set of highly leverageable assets. Within our engineering solutions and are building to design products at the medical arena, industrial arena and defense products to our capabilities in precision machining, to our RF capabilities, our optical capabilities. I believe we have a great set of assets that we leverage. As I’ve spoken to our customers, while they always would likely do more or asking things better, by enlarge our engagements are strong and our relationships are stronger such that they want us to do more and I think we can build on that. And we have a dedicated and motivated workforce. So those are great positives to have. Like any company we have some things we have to work on. And I think we have to couch back from the context of how Benchmark was build. Because it was build very differently than most EMS companies. So Benchmark was built by the acquisition of distressed assets and they were managed independently. This company was managed as a federation itself and it was extremely successful. But [indiscernible] regional company and as a result of that we have not invested in go-to-market resources appropriately, we have not invested in transversal functions that can drive commonality of process and the customer experience is uniform region to region. And we have not leveraged our capability. To me, these are the opportunities that we need to lever to unleash and realize the untapped potential of the company. And I believe that 2017 is a springboard for this activity. So if you turn to Page 9. These are our priorities for ‘17. ‘17 is a transition year. It is springboard for growth in 2018 and beyond. So to do that we must and we are focusing on a number of very clear priorities. The first is long term revenue growth. We must invest in the enablers of revenue growth. Those enablers are quite simple, it’s engineering solutions in terms of increase the number of our design engineers, increase the number of our reference platforms that we can sell to customers. It is increase our go-to-market sales organization in terms of people, structure and material. And when we approach customers with engineering and only with engineering we have a high probability of winning. So as we invest in most of the areas, our next focus will be to drive the returns net investment. To see increased pipeline generation and more importantly increased order booking. And we in the company have plans to do that and that is a key focus as we go forward. While we were investing in revenue and waiting for that revenue to materialize we have to optimize our base. That means we must optimize the current book of business in terms of margin return as well as asset velocity. And we must be sure that we are acquiring customers with a right profile from the target markets as we build our customer base. And finally we have to elevate our execution level. We have to accelerate our operational execution program, we have to drive consistency amongst all of our sites throughout the world so customer experience is seamless. We have to load our network to maximize profit per square foot which to me is indication of the effectiveness of the organization to generate maximum profit per square foot by utilizing space in equipment in the most effective way. And finally, we must continue to make improvements in our asset velocity programs and drive our cash conservation cycle days below where we are in the fourth quarter. If we do these things I am confident that we will achieve financial goals. Now as I spoke to a number of you over the past four months, it was apparent that you were skeptical about our ability to achieve these goals. And I committed to derive more transparency going forward, so hopefully the next couple of slides will do that. So we turn to Slide 10. What we've laid out for you is our target business model. And obviously our key financial metric that we committed to are operating income greater than 5.5% and ROIC greater than 12%. To achieve those two metrics we would need to generate or operate within this target business model which calls for revenue between $2.8 billion to $3.2 billion, gross margins between 9.8% and 10% and SG&A between 4.8 and 4.5. If you do the math that gives you 5% to 5.5%. And we must drive our cash conversion cycle below 70 days. If we achieve this model I believe that we can get into the ROIC range, probably early than the non-GAAP operating profit but it is eminently doable. Now if you look at the chart, the big driver on the chart is revenue growth. From where we ended 2016 that’s a growth of $500 million to $900 million over the period. So clearly this won’t be done tomorrow. But over the course of the next several years, it is our intent to do that. Now, the question is how do you monitor progress to this business model. And on the next page which is Page 11. We have attempted to illustrate to you some of the tracking points or waypoints that will allow you to track our progress. These are the same metrics we’re using internally. So as I said before, as related to revenue, the earliest indication of the ability to generate revenue is if you are increasing bookings every quarter. As we do saw in the presentation earlier, our current level of bookings is about at $125 million a quarter. We expect to get to 150 or greater by the second half of ‘17 and are targeting for 250 million of quarter of bookings beyond ‘17. If we can get those bookings with the right mix of customers with 70% higher value markets that will drive the gross margin. Today, we are at about 63% of our revenue mix in terms of bookings, we’re in higher value segments. We hope to be at 66% or greater in the second half of 2017. Gross margins are in the range indicated. Clearly, we did 9.2% for the year. We need to be approximately 9.5% or better in the second half. SG&A, we think, will be flat at 5%, though I will tell you that SG&A will probably bubble up in the first half, as we’re adding more people, but then normalizes, revenue begins to materialize. And lastly, on profit per square foot, our target is to get to in essence and greater than $45 of profit per square foot in the business and that takes the simple calculation, pick our total profit, divide it by our total square footage, whether it’s manufacturing, office, engineering, that gives you the number. Today, we’re at 27. Our goal is to try to get to approximately 32 by the second half of ‘17 on a run rate basis. I like profit per square foot, because I think it’s a good indication of asset efficiency. It talks about space and equipment efficiency in one level and when you couple it with cash conversion cycle improvements, I believe you can get the right tracking of where you would go from an ROIC standpoint. These are the milestones, these are the waypoints. We will update you on our progress as we go through the course of our earnings call, starting in the first quarter. And finally, as I conclude, I’d like to just now close by sharing our thoughts on capital deployment. First and foremost, we will continue to be focused on cash - on the generation of cash from operations and asset velocity improvements. The hallmark of a well-run company is your ability to generate high levels of operating cash flow and we will be focused on that. In 2017, we anticipate cash from operations to be in the range of 125 to 150 for the full year. From a balance sheet standpoint, we are blessed with a strong balance sheet. Our current leverage ratio of 1.6 times debt to EBITDA is reasonable on our standpoint and consistent with peers. And as we think about capital allocation, which I know is on a lot of your minds, I will tell you that the key determinant of capital allocation will be ROIC as we move forward. And from a philosophical standpoint, we are not inclined to do large M&A or by revenue commitment. Our focus is on capability and capability enhancements and organic growth. And we will continue our share repurchase programs as we are allowed under applicable law and as it is based on the cash that we generate in the United States. So with that, let me conclude by saying I am truly enthusiast about our opportunities in the path ahead. And I look forward to sharing our progress in the coming quarters with you. And I will now turn the call over to Don who will give you some color on the fourth quarter.
Don Adam: Thank you, Paul and good afternoon, everyone. I want to start on slide 14. Revenues of 608 million were at the top end of our guidance and up 6% quarter over quarter and down 3% from the last quarter based on significantly lower computing revenue. Our fourth quarter GAAP operating margin improved sequentially by 50 basis points to 4.8% on higher revenues. Our non-GAAP EPS of $0.45 exceeded our guidance of $0.39 to $0.43 through the better absorption during the quarter and a slightly lower tax rate. Our GAAP EPS for the quarter was $0.37. Our GAAP results reflect 2.7 million or restructuring and other costs. For the quarter, our ROIC was 8.4%, which is below our 12% long-term target and driven by the reduction in absolute profit and lower year-over-year revenues as well as an increase in the invested capital from 924 million to 986 million. If you turn to slide 15, we’ll look at our quarterly results by market sector. Industrial revenues for the fourth quarter were in line with expectations and grew 6% quarter over quarter and modestly 3% year over year. Medical revenues for the fourth quarter were forecasted at 90 million, but were lower than expected primarily due to some regulatory delays. Test and instrumentation revenues were flat in Q3, but grew 26% year over year from share gains in our semicap customers where demand is strong. In summary, higher value markets represented 63% of our fourth quarter revenues. Overall, the higher value sectors grew 3% sequentially and 4% year over year, which is well below our overall 10% target. As we turn to our traditional markets, computing continues to be challenged by the maturity of our product portfolio. In Q4, telco revenues were up 2% year over year and 8% sequentially from the strength of production with optical and broadband customers. Our traditional markets represented 37% of fourth quarter revenues and were down 13% from last year and was up 10% from the third quarter. And for the full year, we did not have any 10% customers and our top 10 customers represented 45% of our sales for the fourth quarter. Now let’s look at slide 16, where we will discuss our quarterly business trends. Gross margins improved 30 basis points quarter over quarter to 9.5%, a historical high for Benchmark, which is based on better absorption by managing our capacity and operational execution and 40 basis points year over year based on better mix. SG&A of 28.4 was up slightly from the previous quarter and higher than last year due to the investments in our go to market initiatives and engineering solutions. Operating margins increased 50 basis points over Q3, primarily due to the improved gross margins and better operating level. Operating margins were flat with last year. Let's turn to slide 17 for a discussion of our annual results. The 2016 results showed significant revenue erosion of 9% year over year, driven by a $300 million reduction in lower margin traditional revenues. Our improve sales mix offset the absorption impact of the revenue decline, which resulted in a modest operating margin reduction of 10 basis points. Beyond the 2.7 million in restructuring for Q4, we still expect to incur restructuring charges over the next two quarters of about 2 million to 2.5 million. Now, we turn the slide 18 for a discussion of our annual results by market sector. For the year, revenues from our higher value markets increased from 55% in 2015 to 63% in 2016. Higher value markets grew year over year at 5%, which is significantly less than our 10% annualized growth target due to soft demand in industrials and medical growth below our expectations. Test and instrumentation revenue grew 9% year over year from continued strong semicap demand and share gains with some of our top semicap customers. Revenues in the traditional markets were down 26%. Two-thirds of the $300 million reduction were from two customers, one the telco and one in computing. Revenues from telco are also impacted by declines of broadcast and network monitoring customers. Looking ahead, we expect further declines in computing, but expect to offset this with further growth in higher tech telco products. Let’s turn to slide 19, where we will talk about cash flow and working capital. We generated 44 million in cash from operations for the quarter, bringing our year to date cash flow from operations to 273 million. Free cash flows were 38 million for the fourth quarter and 240 million for the full year. Our cash balance was 681 million at December 31 and our cash available in the US was 55 million. Let’s turn to slide 20 for our cash conversion cycle performance. As Paul indicated earlier, we exceeded our cash conversion cycle target by one day and we are at 74 days in generating again full year operating cash flows of 273 million. This is a six day improvement overall from the third quarter and 20 days since the fourth quarter of last year. We’ll continue to execute ongoing supply chain optimization efforts and are targeting between 73 and 68 days for our cash conversion cycle with a year-end target of 70 days. Slide 21, we remain committed to consistently returning value to our shareholders. Fourth quarter was our 38th consecutive quarter of stock repurchases. And since 2007, we have returned over 532 million to shareholders. We have 93 million remaining for future repurchases. Now, if we turn to slide 22, I’ll recap our first quarter guidance. Looking in the first quarter, our revenue is expected to range from 530 million to 550 million. We expect increased revenues in medical and test and instrumentation with seasonal declines in our traditional based of revenues. Our non-GAAP diluted earnings per share is expected to range from $0.24 to $0.28 and implied in this guidance is a 3% to 3.4% operating margin range. The implied operating margin reflects the absorption of impact of lower revenues as well as SG&A increases for our go to market build out and expansion of our engineering capabilities. For modeling information, for the first quarter, please turn to slide 23. Overall, we expect industrial revenues to be down high single digits for the first quarter based on seasonality and cyclical demand from some of our entity [ph] customers. We expect medical revenues to be up about 5% for the fourth quarter due to product ramps. In the test and instrumentation space, we continue to see strong demand with the ramp of new programs, which should result in the increase of 10% or more. Computing revenues will be down over 30% from the fourth quarter, due to seasonality and maturity of our product portfolio. And finally, with telco, we expect it to be down over 15% from seasonality and decreased demand from some of our customers. Interest expense is expected to be 2.3 million for the quarter and the expected effective tax rate is 19%. The weighted average shares for the first quarter is 50.2 million. As Paul stated earlier, we had an overall solid fourth quarter. We remain focused on accelerating our initiatives and we look forward to our next update in April on our Q1 17 results and with that operator, please open the lines for Q&A.
Operator: [Operator Instructions] Our first question is from the line of Steven Fox of Cross Research. Your line is open.
Steven Fox: Thanks. Just a couple of questions for me to start off. I guess first off, you did mention how the gross margins have improved. I was curious if you could break that down for ‘16, how much was related to acquisitions or some internal improvements. And then going forward, sort of a similar question when you target gross margins improving by another 60 to 80 basis points, is that all predicated on volume or mix or do you see some operational improvement in the assets that you can also run through the gross margin? Then I had a couple of quick follow ups? Thanks.
Don Adam: So if you look at the gross margin expansion, I think that it will come from two different flavors. Obviously, operational execution improvements will be a driver. The second driver will be, as we get more revenue and more load in our plants, we get better absorption and those are the two things that we’ll focus on.
Steven Fox: And then in terms of looking back on the year, how much was due to some of those things versus just the acquisition that you did?
Paul Tufano: I think the acquisitions helped in terms of the mix because it had a higher margin profile. But I think it really is that shift of 8 [ph] percentage point to higher value segment that drove the majority of it.
Steven Fox: Okay. And then just going forward in terms of looking at the improvement in orders that you're targeting by the second half and then longer term, is there anything - any color you can add in terms of where maybe the target markets are, what you think you can correct immediately in order to maybe accelerate some order wins and what might be some longer term solutions that you can put in place, in other words how you plan on controlling your own destiny around those? Thanks.
Paul Tufano: Okay. So first of all, the target markets are pretty simple, they’re the higher value segments. So be it A&D, industrial, and medical, and those are the key ones. And obviously, we're not going to forego compute or telco, but we’ll look at, what I’ll call is next generation. So with telco, I am a big fan of next generation telco. Telco for 4G and 5G. So the key is, we have realigned our go to market organization in to a market segment organization. We have market segment leaders with each of those specific markets. We’re now staffing those market segment organizations. And so they know how the task. I said the task is they're currently now formulating it in a lot more granularity that will drive more funnel. Who are their target accounts? Why those market accounts? How are they going to attack those target accounts and how they leverage off our current book of business in terms of capability? Now, it takes a while to build a funnel. And you can’t get orders once you have an appropriate funnel. So we're now in the process of funnel development. I would hope that as we move into the second quarter of this year and to early third quarter, that funnel development allows us to generate that 25 million more of additional bookings per quarter. And so as we work on better qualified funnel, target account attack plans that are linked to this segment strategies, that’s how we’ll go do this. Now, the easy thing to do is to buy revenue by just lowering the price. We will not do that as we draw this order book.
Steven Fox: Okay. That's really helpful. And then just one clarification, all of that Paul is the, when you talk about staffing sort of the segmented organizations, is that mainly internal or does that reference when you mention that SG&A may have to creep up a little bit in the first half that you’re going to do some external hires?
Paul Tufano: Well, there will be external hires in there as well. I think the predominant of our additions will be external hires.
Operator: [Operator Instructions] Our next question is from the line of Jim Suva. Your line is open.
Jim Suva: Thank you very much. Paul, you mentioned about a desire to have higher profitability. Yet, we look at actually the company is among the higher operating profit margins in its peer group. So can you help us understand about watching vision is higher or look at the pipeline you saw going forward and they have faced some headwinds, so that you can help understand about what you kind of mean by higher and that you when you are already kind of outperforming peers from a profitability standpoint?
Paul Tufano: Okay. Jim, that’s a good question. And I’ll be happy to answer that. So clearly, we did 9.2 points of gross margin for the full year. And we were at 9.8 at the fourth quarter. So I think that is pretty good shooting for this industry, but we have one that’s entire. And so, our goal is 9.8 to 10 which puts us on top of that peer. I think when you look at the type of businesses we do, the type of work we do, that the ability to get there is not unreasonable because we’re really doing highly complex product sets that have a lot of engineering. And so our target model range of 9.8 to 10 I think is realistic. Now, I talk about optimizing that. Over the course of the last several months, we have bisected the company. We have cut every account by every site, looked at what its gross margin and OI enrollment is and when you do that, you always find opportunity. So we found opportunity, we’re going to go process it.
Jim Suva: Great. That makes a lot of sense. And for your SG&A, am I correct you said higher in the first half and then level off for the second half or kind of go back down or stable at those levels or even higher in the second half, I’m trying to think about the linearity of your SG&A, I think you mentioned the word double down or double up or really focus more -
Paul Tufano: So clearly I was talking about [indiscernible]. I think as we staff our engineering organization, but as we bring on more market resources, you will see that perhaps higher in the first half than it will be in the second half. That’s what I’m referring to.
Operator: Thank you. Ladies and gentlemen, thank you for participating in today's conference. This does conclude today's program and you may all disconnect. Everyone, have a great day.